Operator: Greetings and welcome to the Calix Third Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the brief prepared remarks. [Operator Instructions] As a reminder, this conference is being recorded. It’s now my pleasure to introduce your host Jim Fanucchi, Investor Relations with Calix. Sir, please go ahead.
Jim Fanucchi: Thank you, operator and good morning everyone. Thank you for joining our third quarter 2022 earnings call. Today on the call we have Calix’s Chairman, Carl Russo; President and CEO, Michael Weening; and Chief Financial Officer, Cory Sindelar. As a reminder, yesterday after the market closed Calix issued a news release and filed an 8-K with the SEC. Noting that our stockholder letter had been posted in the Investor Relations section under the Calix website. filing and posted in the Investor Relations section of the Calix website. This conference call will be available for webcast replay in the Investor Relations section of the Calix website. Today's conference call will be available for webcast replay in the Investor Relations section of the Calix website. Before I turn the call over to Carl and Michael for their opening remarks, I want to remind everyone on this call, we will refer to forward-looking statements, including all statements the company will make about its future financial and operating performance, growth strategy and market outlook and actual results may differ materially from those contemplated by these forward-looking statements. Factors that could cause actual results and trends to differ materially are set forth in the third quarter 2022 letter to stockholders and in annual, quarterly reports filed with the SEC. Calix assumes no obligation to update any forward-looking statements, which speak only as of their respective dates. Also in this conference call, we will discuss both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in the third quarter 2022 letter to stockholders. Unless otherwise stated, all numbers referenced in this call will be non-GAAP measures. With that, it is my pleasure to turn the call over to Carl. Carl?
Carl Russo: Thank you, Jim. Robust demand continued in our third quarter, which resulted in a 37% year-over-year increase in revenue and a 65% year-over-year increase in RPOs. This growth continues to be driven by broadband service providers that are providing broadband-as-a-service rather than just a dumb pipe. We expect this trend to continue and many of our aggressive DSP customers are using the economic slowdown as an opportunity to gain share by delivering an exceptional subscriber experience to those who have never received one. On the supply front, the Calix team again outperformed and we benefited from a pull forward of inventory, which provided us with the resources to meet more demand and enter the fourth quarter in a better position to meet our customers’ subscriber growth. Higher revenue in the third quarter combined with the revenue guide for the fourth quarter puts us on a pathway to deliver our third consecutive year of 25% growth. The disruption that we have spoken of for years continues to pick up speed. Our medium sized customers are growing as a percentage of our business. And while we do not normally forecast bookings mix, I expect we will see more than 90% of our bookings in the fourth quarter come from our all platform, cloud, software, associated systems and services. These two observations combined with our consistent performance indicate that our transformation is nearly complete, and thus it is appropriate that I step up to the Board and have Michael lead our evolution going forward. Michael, it's all yours.
Michael Weening: Thank you, Carl, for the opportunity to follow you and lead Calix into the next phase of our evolution. Last week at ConneXions, our annual customer success and innovation conference. We shared that Calix is entering the third phase of our corporate journey, which we define as the ecosystem and partnering phase. In this thing, we are building on 12-years and more than $1 billion of investment in our platforms to help our service providers transform their business. At ConneXions, we demonstrated that the maturity of our platforms allow our customers to innovate at a speed that has never been seen before in the broadband industry. In closing, the enormous opportunity we are capitalizing grows every day. The Calix team is committed to executing with excellence, to help our customers simplify their business, excite their subscribers and grow their value to shareholders, or members and their community. With that, let me hand it back to Carl. Carl?
Carl Russo: Thank you, Michael. This is the last time you will hear me say operator, let's open the call for questions.
Operator: Thank you. At this we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Paul Silverstein with Cowen. Please proceed with your question.
Paul Silverstein: Thanks, guys. Michael, congrats, you got [indiscernible] to fill.
Michael Weening: Thanks, Paul.
Paul Silverstein: I think you all made clear in your remarks, but I got to ask because it came up last night after you reported from some clients. The shift to software, I heard you say that you're 90% or you expect 90% of bookings to come from all platforms. But the RPO number sequentially and the deferred revenue number sequentially for [indiscernible] out there wasn't consistent and overly concerned, but didn't appear consistent with the overall growth. Any thoughts you could share in terms of software cloud progression as a portion of revenue and that's speaks to future revenue growth? And just to be clear, the pull forward you referenced was inventory not taking demand in the future periods?
Carl Russo: So let me start with the end. The pull forward was inventory, ordinarily that word is a scary word, but in our supply challenge times, being able to pull forward inventory was a good thing. And you saw that in the outperformance on revenue, by the way, that also actually partially answers the first question you had, which was we had significant revenue growth on the hardware side, because of the pull forward of five. But I think I'll let Michael speak to the nature of the platform business in general and outlook and still he maybe Mike you can share your experience.
Michael Weening: Yes, it can be lumpy, because we were up 65% year-on-year and we continue to close contracts. So that growth will be at variable levels. And I'd like to call that just last quarter, we had 18% growth, we saw in one of our greatest growth quarters.
Carl Russo: Yes. And coming out of ConneXions, it's very clear that our customers understand the opportunity ahead. And as we help them move into new markets and change how they address their subscriber opportunity through incremental clouds and services and everything that we're doing with the suites. There is no doubt that there is a significant growth opportunity ahead with those customers.
Paul Silverstein: All right. One last question if I may. I trust by definition -- thank you, buddy. I trust by definition visibility into next year in terms of the current strength that you're seeing that you continue to have good visibility and that the strength you're seeing is not being benefited much if at all by the coming disbursement of funds from the various broadband legislation in the U.S. and abroad? I trust that's still a trickle, not even a stream. So that's a question.
Michael Weening: You're absolutely correct, Paul. That's a trickle that will take a decade to roll out.
Paul Silverstein: And your visibility into next year, Michael?
Michael Weening: Continue to be strong. As Cory will talk about as we provided with guidance. We have no -- they'll continue to grow at an incremental level every single year.
Cory Sindelar: You're talking about demand.
Paul Silverstein: I am talking about -- to me, and I'd love to ask about margins as well, but I don't want to incur the wrath of my peers who are waiting on.
Michael Weening: Now it's just our demand capability as we believe quite strong. And I would echo having attended ConneXions and invested just a few minutes on stage. The excitement is just off the charts.
Paul Silverstein: All right. And Carl, with respect to margins, I'll apologize [indiscernible] question. It sounds like this is the start of meaningful margin recovery and back to that very fine training you’d establish some up until you've got gobsmacked along with everybody else by the increase in freight logistics teams, et cetera?
Carl Russo: As we said, so the answer is, we think this is the beginning of recovery. I'm excited to see it just starting to turn up in our guidance would indicate for Q4 it might get a little more of a turn up. The way I think about that, which is back to the 100 basis points to 200 basis points in 2023 makes me feel that much better about us achieving that. Keep in mind that we've always said that if the headwind is slow, the mix of the business will start to take over again and margins will start to expand. And I think that's where I would characterize it. Without going too long on a discourse in the supply chain there's still lots of issues out there, even though we're seeing some improvements.
Paul Silverstein: No. Carl, you did just say 200 basis points to 300 basis points, not 100 basis points to 200 basis points?
Carl Russo: No, 100 basis points to 200 basis points.
Paul Silverstein: Alright. I'll pass the line. Thanks guys.
Carl Russo: 200 basis points to 300 basis points, I was mistaken. If you heard 200 basis points to 300 basis points, you were mistaken.
Paul Silverstein: Thank you, Carl.
Carl Russo: I figured this thing off last conference call you and I have to get it going in. Thanks, Paul.
Operator: Thank you. Our next question comes from the line of George Notter with Jefferies. Please proceed with your question.
George Notter: Hi, thanks a lot guys. And Michael, congrats on the promotion and we look forward to working with you. Hey the -- I guess, I wanted to ask about Brightspeed, I noticed that your medium sized customers doubles roughly sequentially off of what has been a pretty consistent revenue run rate from that medium sized customer category historically? So I guess I'm wondering if that is Brightspeed coming into the mix hear any sense of that?
Michael Weening: Well, so the answer is Brightspeed is coming into the mix, but it's not the driver of that. It's more medium sized customers, but to be clear, Brightspeed is now accepting deliveries as they position themselves to take over, which they did at the beginning of October. So it started coming into the mix in the third quarter, but it's not the primary driver. It is simply we are seeing more medium sized customers start to step into what we're doing. And as we've discussed, as you know, George for many years, when the small second segment was growing, seemingly at 90%, which didn't quite make it to. We said that as the disruption continues, you'll start to see larger customers take it off, that's what that's all about. It's not any one customer.
George Notter: Got it. Okay, great. That's helpful. And then last quarter, if I go back to the earnings call, you guys talked about $100 million buyback. I guess, I assume that you might have engage some of that buyback program during Q3. I didn't see it looking on the cash flow statement. Any thoughts on the buyback program at this point?
Michael Weening: Yes, George. Like we talked about last quarter, when we decided to go work with the Board and put that buyback in place, the company stock was at a much different level. We are looking at our cash requirements. We look at it on every quarter at the Board level as strategic level. You're getting to a point where we had no immediate needs for cash. And all of a sudden, you're sitting there looking at a $30 share price going. We don't know where this ends. But at some point, our stock becomes a better alternative use for cash than our existing needs of just having it ready for the business. And so we went ahead and through that capital allocation process, decided we had to put a program in place. By the time you got put in place, obviously the shares have recovered to a point where we're going to leave the cash on the balance sheet and we'll continue to revisit this every six months or so. And so that's kind of where we're at. So yes, the shares recovered, we didn't have an opportunity to step it and [indiscernible] shares.
George Notter: Got it. Okay, and then just last one is, it's a quick one. At this point, what is the sort of impact you're getting through the gross margin line associated with higher input costs? I think at one point you guys told us 400 basis points to 700 basis points. I'm just curious what that is now? Thanks a lot guys.
Michael Weening: Yes. So I wouldn't change that rates George. It's still kind of a net number. And as we stated in the stockholder letter, the improvement in margin this quarter was largely more of a reflection of product mix. We finally solved some of those golden screw problems on our access product line and we were able to shift more of that inside the quarter and that product mix then obviously helped us with the overall margins. So -- and to center prospectively, George, let me ask -- I'm going to ask Cory a question. Are you done with expedites? Are you still doing them?
Cory Sindelar: Well, inside this quarter, we added again another component issue and so we had to expedite -- actually put some product on airplanes, which is always expensive. So we're still dealing with them. We are expediting less you can see that our inventory balance has taken a nice step upward during the quarter, still within the range of what we had set outside from the very beginning of a turns ratio of somewhere between three and four. We're at 3.1, so that's good. And with that amount of inventory, obviously, we'll have to expedite less and hopefully avoid all that air freighting.
Michael Weening: Thank you, Cory.
George Notter: Thanks guys.
Operator: [Operator Instructions] Our next question comes from the line of Michael Genovese with Rosenblatt Securities. Please proceed with your question.
Michael Genovese: Great. Thanks very much. Congratulations on a good quarter guys. Now obviously hardware is in an extremely strong cycle and seeing like it's going to stay in a strong cycle. My question is, for your sales cadence and your sales cycles, is there a phenomenon where new or customers tend to order hardware first and there's a software pull through later? Is that a good way to think about it? Or could you just talk about that a little bit, please?
Michael Weening: That's a great way to think about it. In fact, as we've talked about over the last few years, the way we're going in the marketplace is that once they put, for example, it gets fire into the home, whether it's a home or small business, that's where the service provider then has a unique opportunity, which has never happened before, which is going way beyond connectivity, where they start to sell services, manage services. So that start out with Tech IQ and Experience IQ, and if you watch ConneXions you will see that we continue to expand that portfolio opportunity for broadband service providers. We announced our service aged nine, 10 and 11, all of those are monetizable opportunities for the broadband provider and then in turn for us. So absolutely, that's the right way to think about it.
Michael Genovese: And so just to even dig down on that deeper, I mean, if we look at a new customer like Brightspeed, which I understand isn't the main reason for the 6% growth of medium as a category as a percentage. But if we're just taking them as an example, would we -- would you expect that in the beginning the hard -- the mix is more towards hardware and that later the mix is more towards software? Is that fair? Or --
Michael Weening: Absolutely, yes.
Michael Genovese: Yes, okay.
Michael Weening: No, that's great. That's absolutely right.
Michael Genovese: Okay, I want to ask a little bit more about the gross margin in the supply chain and these are really small points. So maybe this question is like too cute or something. But, you know, Cory said there was a supply chain issue in the quarter, but you still did 50 points, seven, I think 50 basis points, 60 basis points above consensus. And then the guide for the next quarter is better than the guide you gave last time, but it's the midpoint is down very slightly sequentially. So just can you talk about really the fourth quarter versus the third quarter supply chain? Is it the same? Is it improvement? Are you guiding that there could be more surprises? And if there aren't, maybe it'd be at the higher end of the range, what are you thinking there?
Michael Weening: I don't -- I think the question is marginally too cute, but not too cute, Mike. So we're going to answer your question. So let me go back and frame it in the macro sense, which is, again, if the headwinds even start to abate, the mix of the business will start to statistically push it. On any one quarter, you better be careful, but let me now ask Cory to add comments to that.
Cory Sindelar: Yes. So Mike, I mean, I think you're kind of too finely. There is still enough variability inside the quarter that you're going to be able to see various things that, for example I entered into or agreed to $5 million worth of PPVs to solve a problem that we have, right? So those PPVs are just price variances are still coming through. And I'd characterize the whole supply chain is this. In the last 91 days, things have improved in certain areas. But those areas that were -- those component parts that were problematic remain problematic or still chasing them. So they're still, call it, a dozen or so parts that make it very difficult for us to get everything that we want. And so when we're buying them, we're buying them, we're paying up for it. And in certain areas, it's getting better, right? So lead times remained extended, albeit, I've heard for the first time, one vendor reduced their lead time for 52 to 26 weeks, so there's some evidence of it getting better. On the logistics side of the house, rates have come down, continuing to come down. There's still not pre-pandemic levels, the port congestion seems to have cleared up in Long Beach, but rail and trucking seems to still be kind of a mess. So it's getting better, not where it needs to be. And so then you're still looking at the fact that we're having to build more products. But I would say the increase in inventory that you're seeing is really a reflection of all of the work that we did in the last six quarters. I think we’re finally getting some of those purchase commitments that we made six quarters ago and they're actually starting to show up. So it's a combination of that, a lot of the long order of fund leaders that we bought, solving some of the golden screw problems and, you know, a little bit of improvement on the shipping logistics.
Michael Genovese: Right. That's great color. Thank you. Lastly, I just want to ask Carl and Mike a quick question each. So, Carl, you're not going to be on the next conference call, it sounds like. What are you gonna spend your time? I mean, you're a 100% focused on Calix or other things? And what are you going to be spending your time doing?
Carl Russo: I will not have prepared comments, I will attend next quarter's conference call just because I'll miss it if I don't. I'm just kidding, if I will be on the conference call in case there's particularly refined question that you asked Mike.
Michael Genovese: Okay.
Carl Russo: But -- and to your point, look, I've been focused on the board and the future on those pieces. The leadership team has been executing. This is just a natural next step of what we've been doing. This has been a 20-plus year endeavor, I'm not going anywhere as the company now steams its evolution. I will certainly be on the board and the chair of the board. That said, I have lots of interest, but my first interest will remain talent.
Michael Genovese: That’s great, great. I'm glad that we'll be able to talk again on the next call. And Mike, how would you just try this. Is this a new era start of a new era for Calix? Is this continuity? I suppose it could be both. So let me stop talking and hear how you would characterize that -- what this change signals for Calix?
Michael Weening: It doesn't signal anything other than a continuation of our pursuit of our strategy. So as I announced at ConneXions, we've entered the third phase of the company. And then third phase is where now that our platform have reached the level of maturity, we can now shift some of our innovation efforts into how we continue to provide ecosystem in managed services that really speed the success for broadband service providers. So from my perspective, I would say from the leadership team's perspective and our teammates, there is no change. This is just a continuation.
Michael Genovese: All right, fantastic. Again congratulations on the new role and congratulations on the performance.
Michael Weening: Thank you very much.
Operator: Thank you. Our next question comes from the line of Ryan Koontz with Needham & Company. Please proceed with your question.
Ryan Koontz: Congrats, Michael, the appointment and to the team on great results here. I think we've hit most of the key points, but I want to ask about international. It sounds like that was down, I know last quarter you mentioned that you had a U.K., customer that brought onboard another vendor and just to set expectations accordingly to the investor community. How should we think about the prospects there over the next 12-months on the international front? Thanks.
Carl Russo: Yes. So let me start off with this one and I'll ask Michael to comment on market. But what I'd highlight is the fact that if you remember a year ago, we had kind of this anomaly where we had shipments that I think got stuck in the Swiss Canal and then really didn't show up and so Q3 a year ago, we had like two quarters of revenue end up going to CityFibre. So hence Europe was very strong. This year it's more normalized, so the decrease that you're seeing is really just a function of that kind of prior year anomaly. And then Michael, do you want to -- just comment on our thoughts on international?
Michael Weening: Yes, we have expanded in the U.K. market, we made that very public, which allows our clouds and everything that we're doing from a broadband innovation point of view to benefit the folks in the U.K., and we have a very pragmatic approach to our international expansion, while optimizing the opportunity in the North American markets.
Ryan Koontz: That's helpful. And are you looking at other markets in Europe there? And how do you see the opportunity developing now that the Chinese suppliers are moved aside? Are you seeing a return to any kind of pricing normalcy there in mainland Europe?
Michael Weening: The primary focus remains to North America market. And as I said, we've expanded pragmatically into the U.K., and then we'll assess it on a go forward basis. We really do want to optimize everything in North America at this point.
Carl Russo: Well, and also keep in mind, Ryan, that the Huawei replacement opportunity is a -- was a price driven acquisition by certain service providers that if they're looking for a replacement are probably going to be very price sensitive or price driven. And that's not the dimension upon which we compete. So Michael, do you want to add color?
Michael Weening: Yes, this is something you've heard Carl say many times on many calls, which is our focus site is on finding strategically aligned customers. People who understand that this is not a dumb play that speed is a go to market is something that meets the quantization and they're looking for how do I build out a completely different go to market. In fact, I talked a lot about that at ConneXions is that the broadband market is right, it’s a perfect opportunity for them to actually capitalize on their infrastructure by expanding into experiences. And we are the only company in the world that is [indiscernible].
Carl Russo: And we have a packed house of aligned customers at ConneXions.
Michael Weening: Right.
Ryan Koontz: So I've heard that's great. I wanted to ask a follow-up if I could on the cable TV front and see how those opportunities we’re developing. Are you seeing more of an interest in MSOs shifting some of their CapEx over to fiber? It's been a small minority historically. And how should investors think about that opportunity in the short to medium term?
Carl Russo: Absolutely. There's not cable provider out there that is not assessing or transitioning over to fiber, because it's a huge opportunity for them to make a shift. Absolutely, it's a growth opportunity.
Ryan Koontz: Got it. Thanks so much.
Operator: Thank you. Our next question comes from line of Tim Savageaux with Northland Capital Markets. Please proceed with your question.
Tim Savageaux: Carl, it seems appropriate we get perfect pronunciation of the last name on your last call. I wanted to -- so well done to the operator. And wanted to kind of take the discussion to a higher level given the circumstance here and congratulations on the results for sure. And going all the way back to the Q1 call, I think Carl, you termed the business recession proof. And I'd say to-date that's looked like a fairly decent forecast given your performance. I wonder if we might get as we've gone through the year here and you look into year-end and next year, kind of an updated view from you about the overall kind of interplay between your business, the sector you operate in and the macro because it has seemed very resistant and then is a sort of small coated to that? On the supply front, are we finally starting to see that dynamic that I think we also discussed in the Q1 call of slackness elsewhere in the tech supply chain say auto consumers starting to benefit you guys?
Carl Russo: Okay. So first of all, let me give credit where credit is due. There was absolutely no coaching of Melissa, our operator, who knew you and knew you well and nailed the pronunciation on her own. So it is merely a coincidence [Multiple Speakers] want through coaching. Secondly on the recession proof base that that has turned out to be true. And now it's up to Cory and Michael to continue that, and I'm just kidding. The recession proof piece actually I'm going to set this up and then I'm going to ask Michael to give you some power from ConneXions, because Michael is obviously chat with many, many customers. There are customers that go at this market as a pipe, and I believe that they will be subject to the recession. And there are those that are going after it as a service. And I believe those will benefit from the recession, because in downtimes, there is share that shifts and the share that we're focused on is the broadband service provider share. So I think Michael could share some anecdotes with you to give you some sense for what's going on and why our business is recession-driven. It's not because of our business, because of our customers. Mike, do you want to share some stories. [Multiple Speakers] go at that?
Michael Weening: The Calix customers who are thinking well beyond speed as a go-to-market and how do I engage with my subscriber and transform not only the subscribers’ home, the small business, but also the community have a huge opportunity ahead and they are very bullish with regards to the coming years. They're making the investments in their communities. And then the thing that they're focused on is that, that's just the start. The next step is how do I actually monetize on top of the existing infrastructure investment and that is all through incremental services. So if you watch ConneXions, one of the things I've talked a lot about is consumer behavior. And the consumer really doesn't understand speed, but what they do understand they understand reliability, they understand the service provider, who cares about the community and then they also understand the service provider, who has a plethora of services that actually transform their home. And each one of those are monetizable and become an excellent opportunity to build loyalty, eliminate churn and grow revenue. So hopefully that helps Tim. On your question about inventory, look, we've -- I want to echo what Cory said and amplify it. We're seeing some benefits now frankly more due to us being after this for the last six, eight, 10, 12 quarters. Our purchase commence the data that we have on our customer demand all that is giving us the ability to perform better than what the macro is. That said, there we've said before, there were some green shoots last quarter, but you still have counterbailing effects to those green shoots. I do believe over the next four quarters, as you see in our letter, we think this is going to continue to mitigate, but I think it's going to be a gradual thing over four quarters. Cory, feel free to --
Cory Sindelar: Yes. I agree on that. I would say, Tim, we're not seeing that now. And so it's not like the consumer segment weakens all of a sudden, the networking space is strong. That inherently will take time, if you just think about it, the demand decreases in those other segments. We'll have to start with wafer starts by the time you run them through wafer starts getting them down the line, having good bills, having them put on cards, putting them on boards, into products, putting them on the water. It just takes, you know, it's measured in quarters, not weeks.
Tim Savageaux: Got it and appreciate that. If I could just follow-up another, kind of, high level question here. But as I see discussion of the third phase of the business around ecosystems and partners, and of course, we see Carl’s role evolve to the board level, and congrats to both of you guys on that. Should we infer from there more of a strategic and externally focused view from Calix here going forward as you ponder what to do with your $4 billion market cap or is it business asusual?
Carl Russo: So let me start the front end of that, but I'm going to ask Michael to amplify platforms and partners. As you and I have discussed before, Tim, the platforms open up a very interesting opportunity to bring things to market, as you heard Michael say, had another incredible pace. But it also opens up the opportunity. Every time you look at something that in the old world as a complex systems business, you would look at acquiring, because you have to integrate it. We don't have to. And so from a strategic standpoint, I am certainly going to stay focused on both laterally and deep, what's going on, but I would dissuade you from thinking there are any inorganic opportunities that are in front of mind. As a matter of fact, I'm going to turn it back over to Michael, I think our focus is on the rapid evolution of that ecosystem. So Michael, if you could add some anecdotes to that?
Michael Weening: Sure. As I kind of ConneXions, the industry really stops, because they have not built a platform at a few services, we demonstrate and are demonstrating every single day that by integrating with partners who have great technology that our customers see as a market opportunity. That we can bring things to market at a rate that's never been seen before in Telco. And in fact, in the broadband market, this has been the biggest issue. They really struggle going beyond a pipe selling speed. And we have solved that problem, and that's evidenced by the fact that we really Smartcom Wi-Fi, which is our aid service, really smart business. Smart business is fascinating because there's 28 million smart businesses in North America. And while everybody else looks at that as I put connectivity into the business, we actually see it radically different. We see that you give a great experience that's reliable and then we see a whole range of services that we can build with partners on top of it things like incremental cyber security services, foot traffic analysis, marketing demographics, all this information. So for us, every single time we land, it’s just another opportunity to find the right partner that our customers identified as an opportunity and integrating it into our platform for them. And then for the partner group, this is where I'm spending a lot of my time, partners in the past would have to one-off integrate with every broadband service provider. We have explained to them by integrating with us once they have the opportunity to reach 1,000s of broadband service providers and tens of millions of homes and businesses. And so they are talking to us, because it's a huge opportunity ahead. And then last piece, we also announced two additional services [indiscernible], which is our local security allowing a small service provider to do full home security and then a service around reliability for home office. Home office IQ, and what you would think about that is that, that's just the start. We did eight, nine, 10, 11, every quarter, we will be on our 91 [indiscernible] and releasing more.
Carl Russo: I do want to provide one clarification. To go back to your recession comment, Carl said that the pipe provider actually would suffer from the recession. I would actually expand that out and say that the company, who is only focused on speed-based marketing as a broadband service provider is not just open to the recession. More importantly, they're open to significantly losing market share to [indiscernible] partner broadband service provider to understand experience. This is the paradigm shift that we're seeing, not just perception. They are going to fall prey to a Calix customer.
Tim Savageaux: Okay. Thanks very much and congrats once again.
Michael Weening: Thanks, Tim.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Fahad Najam with Loop Capital. Please proceed with your question.
Fahad Najam: Good morning, and thank you for taking my question. Mike congratulations on the promotion as well. Let me start off with, if you can double click on the supply chain, I suspect some of your suppliers like Broadcom have increased pricing. But on the other hand, memory pricing is coming down pretty hard sequentially? Can you walk us through the dynamics in the supply chain apart from improving availability or prices or pricing beginning to normalize?
Michael Weening: I think, no. Generally, no, in fact, we're still looking at facing price increases from January 1, so quite contrary to that. So no, I have not seen prices come down in any material way. On the freight side, we said, yes, that you're starting to see pricing come down on your pricing trade logistics.
Fahad Najam: But is it your expectations over the next four quarters? Is that pricing for components will begin to normalize?
Carl Russo: So normalized meaning stop going up, I -- those are mine. But if you mean normalized going back to, like, the good old days or so looking went down every quarter? No, not in the next four quarters.
Fahad Najam: Okay. And then lastly, if we look at the improving gross margin outlook, driven by just I guess, freight costs coming down and your ability to ship more and thereby driving higher revenue and benefiting from volume. Your R&D spend is pretty much tied to your gross profit line and at some point I suspect your gross profit is going to grow faster than your ability to invest in R&D. how are you thinking about it? How -- your historical 19% of gross profit, is that still your outlook? Or do you think that there is an opportunity to revisit that framework?
Carl Russo: Okay. So let me start where you started, which was the notion of gross margin, because of going up because of logistics or other pieces. Let me be clear, as pricing headwinds slow down, the mix in our business, so the mix towards more platforms, software et cetera is what will drive the margin expansion, not logistics costs or lower component costs. So all that has to happen, as we've said, each quarter isn't at some point in time, the headwinds just slowed down. We should start to see some margin expansion and that's what we are saying, so that's the first piece. On R&D, our OpEx investment model remains the same. As a reminder, it's 30 points of product gross profit. That said, your question about growth at these rates of growth can we invest, that's our target. We're going to do our level best to do it.
Michael Weening: Yes, and let me expand on that. The executive leadership team has their most important commitment and goal is that as we continue to go through this quarter and subsequent quarters that we invest right up to what's available. We would be fools to not do that, because the growth opportunity ahead is so significant and because of the fact that our platforms are now at a level of maturity that allows us to expand at an innovation level that has never been seen before. Slowing down at this point would be wrong.
Carl Russo: Now one last comment on that thought, in this quarter because of the late in the quarter pull forward of inventory. That additional revenue came unattended by OpEx, because you can't react to that. So in this quarter, we fell behind, but given the opportunity to satisfy more of our BSP demand, that's what we chose to do. But as the model, we're going to stay focused on staying on that model.
Fahad Najam: Appreciate that. One more clarification, I think you mentioned that 19% of your bookings in the fourth quarter are going to come from all platforms and cloud services and software. What was the bookings as a percentage in this quarter and in the last quarter, if you can share -- give us some trend line where that is going?
Michael Weening: Yes. In Q2, we said that it would -- it did cross over 80% you can assume that it was probably above 80% in Q3, but we've been doing this sort of across the corners as you may remember. I am saying as the departing CEO that it's going to be over 90%, that's my guess. I pretty sure I'm right, but we'll see if that in fact happens. Either way, my point was, at this point, we are so close that what used to be Calix, we called Calix 1.0, is so far in the rearview mirror that the transformation of Calix from what was way back when, a systems company, Janelle, a platform company, and now evolving into an ecosystem company, we're there. That was my only point of the comment.
Fahad Najam: Appreciate the clarification. Thank you.
Carl Russo: Yes. Thanks, Fahad.
Operator: Thank you. Our next question comes from the line of Scott Searle with Roth Capital. Please proceed with your question.
Scott Searle: Hey, good morning. Thanks for taking my questions. Congrats on the quarter. Mike and Carl, congrats on new roles going forward.
Carl Russo: Thank you.
Michael Weening: Thank you.
Scott Searle: Hey, maybe just dive in and get some clarification looking at mix and growth going forward. Earlier in the call, I think you addressed the mix of medium sized customers had a big step up in the quarter. Just want to clarify there that it sounds like it's a pretty diverse mix of customers that are contributing to it. And so not a one-time event, we should expect this to continue going forward if not expand as we go into 2023? And then looking at some of the -- I guess new ConneXions, new lines, AXOS had a big quarter, up I think 118% year-over-year. Could you talk a little bit about that dynamic in terms of what's going on there? Are pre-existing customers starting to adopt the platform? Is this all new line driven growth both of which were good, but trying to get a little bit more color on what you're seeing that was driving that performance in the most recent quarter? And then I had a couple of follow-ups.
Carl Russo: Yes, let me just answer your medium sized customer fees, and I'll hand the AXOS fees over to Michael. Be careful on the medium size, it is a trend for sure. It is going to be noisy, so you're going to see some quarters where it's up, some quarters where it's down. But in general, if you think again about disruptions, you're starting to see larger customers take this on, but by the way, larger customers can also be noisier in and of themselves on shipments, because it's a much smaller set of medium sized customers. And it is the 100s in the small set, so hopefully, statistically, that makes sense to you, Scott.
Scott Searle: Yes.
Carl Russo: And for AXOS, growth, et cetera. I'm going to turn that over to Cory and Michael.
Cory Sindelar: Yes. So Scott on that piece, I talked about that a little bit earlier inside the quarter, which contributed to the margin expansion was mostly product mix. Part of that was catching up on some XGS cards that we had built up a pretty big backlog on that we saw the gold screw for and it led to some of that AXOS over performance.
Scott Searle: Okay. Thanks, helpful. And then if I could to kind of jump in on the expansion of the ecosystem, virtual services. Carl, you're talking about the excitement coming out of ConneXions and Mike you're talking about basically the growing ecosystem and partnership opportunity there. Couple of things for starters, I was wondering if you could update us on maybe how you're thinking about attach rates, what you're seeing in terms of the existing product offering with Arlo, Servify and Bark? And then expanding beyond that, Mike, again going back to the partnership and it sounds like that ecosystem in general, I think earlier I was thinking about this more as a very confined and curated experience in terms of what you offer to broadband service providers. But it sounds like it might be growing beyond that in terms of the interest level and the number of partners that are out there on that front. So does it become something bigger, because of the level of interest in terms of the menu of services that you can go to your pre-existing installed base? Thanks.
Carl Russo: Yes. So real quickly, just as a preamble, as you remember Scott from our conversations at the ecosystem partner level, we said it's very early days. We had a small number of customers taking it up, but they were starting to be very successful with it. And that was for four ConneXions. And then ConneXions, I would say a very different reception, just another step up. But now I'm going to turn it over to Michael and let him show it all in.
Michael Weening: So the first thing is I'm going to go back a little bit to the medium, right? What you're seeing is that with this transformation of the market that we're creating. In the past, and I talked a lot about this at ConneXions is that the big companies have the advantage. They no longer have that advantage. It's actually small and medium sized companies, they're small or becoming medium. They have a huge opportunity because there we've seen a massive democratization of the access to technology, that's what our platforms do. In fact, I would argue that a smaller medium customer will be significantly more agile in the marketplace versus a big company, because of all of the technology and innovation we're bringing. So as you look forward, this kind of goes back to the previous question around recession grouping, right? If there's a company, it's just a pipe company and that's all that they offer in the market, a Calix customer will run circles around them. The second part of it to address your curation of experience is an interesting word to use curation, and actually to some extent represents what we do. What we do is we -- again, I talked about this is at ConneXions with Kate, what today is an over the top service or a DYI service. And in the past, the service provider had no opportunity to be part of that value chain, because they added no value. None, they would just say my value is put it on my bill. That's not value, right? And what Calix has done with our platforms in this third phase, is take any one of those services and we basically put it in what we call like a foundry and we hardened it we put pride to support marketing insights, all these different capabilities onto that service and convert it into a fully managed experience where it goes from, do it myself to now the service provider can control everything, have insights into it, and offer it to the end subscriber whether that's a small business or home as a fully managed service where they add a lot of value. And that is great for their brand, but it also completely transform the consumer experience. And this is really the opportunity they put that infrastructure in place. And now to your point, they have a huge laundry list of experiences. But more importantly, they understand that subscriber and can and really position the right ones for the right subscriber at the right time. So I would not call it, if you're using the word curation to dictate that it's a small number, I would actually say no. If you're saying they're curated, because of the fact that we do a lot of research with our customers on what should come to market and be created into a managed service? Yes, but it doesn't get paid volume. And as evidenced by us doing eight, nine, 10 and 11, this is just the beginning to be really clear. A Calix partnered broadband service provider is going to completely dominate their market because of the fact that their offerings are going to be unlike everybody else.
Scott Searle: Perfect. Very helpful. And by the way, Mike, I was going for what was behind door number two there in your description. And just lastly, I think, I heard this correctly, but I just want to clarify Cory on the R&D front, right, the target has been 30% of gross profit. Even though you're spending below that, that's still kind of the target that you're trying to work towards, it’s just in a high growth environment. It's been difficult to get there. Thanks again, guys. Great job on the quarter.
Michael Weening: Thank you, Scott.
Carl Russo: Thank you.
Operator: Thank you. Our next question comes from the line of Christian Schwab with Craig Hallum Capital Group. Please proceed with your question.
Christian Schwab: Hey, guys. Carl, congratulations on successfully on a many multi-year transformation of a company, which a lot of us had our doubts along the path of journey that you would get to. So congrats about that. And Michael, congrats to you on the opportunity to steer the ship forward, I don't have any other questions other than those statements, they've all been asked. Thanks, guys.
Michael Weening: Thank you, guys. Thanks, Christian.
Carl Russo: Christian, let me use that as an opportunity to thank you to you for hanging with us throughout and to, you know, all the analysts on the call. It's taken a bit of patience, but it has been appreciated very much by us. So thanks for saying that.
Operator: Thank you. Our next question comes from the line of Paul Silverstein with Cowen. Please proceed with your question.
Paul Silverstein: Well, after that, I'm still guilty of asking, but I have to ask. Well inflating how blue the sky is for you and your future. What other than the obvious in terms of macro and supply chain, et cetera? Company specific, what do you worry the most about? What could go wrong? Or could you notwithstanding how fine you seem to be doing work. Could you be doing better?
Carl Russo: Are you asking me, Paul, are you asking Michael, whom you are asking?
Paul Silverstein: I'm asking whoever would like to actually respond to the question, Carl. You or Michael or both of them?
Carl Russo: Well, I'm -- never had a loss for words, so I'll answer it. From my perspective, when you're functioning as we are, focused on our customer success. As you've heard Michael, I think very eloquently speak to just the curating opportunity and thinking through every day how we're doing this. The number one focus here is on execution and making sure that we grow at the rate that the opportunity is growing. From a macro standpoint, I'm not trying Trevor's colored glasses. But to me, this is very much about our execution. I do not see major things that you could plan for. If there's an outbreak of war or if there's a common strike, I mean, these are not things you could plan for. So this is very much about us executing on that path, tying together with, for example, R&D investment and make sure that we meet the evolution rate for innovation that our customers can uptake. There's all these things, but they're very much inside of the domain of what we have been doing and executing to. So I do not see an exogenous event. That threatens us in that way.
Paul Silverstein: Mike, would you turn out anything?
Michael Weening: No, I agree. The focus for the executive team is actually execution and I think we've demonstrated over the last quarters that we can execute. And so we’re doing a good job of bringing on new people. Our culture continues to evolve. I would say as we -- one could say you worry about culture, but that's not how we think about it. We actually think about culture is better, better, never best is our cultural focus, which means all these new people are actually a huge opportunity for us to be self reflective every single time and say, hey, I brought this from my own company. You should think about this and constantly changing as a leadership team, changing as teammates, so that we just keep getting better. So, no, I think it's an exciting opportunity ahead.
Cory Sindelar: And that better, better, never best also translates into the customer success environment with ideas coming from customers as you saw Michael elucidate on stage how many of the ideas that we're working on come from hurdles of ideas from our customers.
Michael Weening: And that's a really important point, literally every single one of the big announcements that we did add ConneXions and there were a lot. You would have seen all the announcements that we did last week. Every single one came through from a customer. And I also stated on stage where our customers said to us in the leadership advisory board that I lead with three, two CEOs, GMs, of all different sizes, right? The one thing they said from us, they said, keep investing in customer segment success, which I announced we are. We're expanding that team pretty significantly. It's already largest in the industry. It's just a lot larger. The other thing that we're doing is they said, B.R. innovation engine. So we are innovating with them based upon what they see in the market, what we see in the market, a lot of data oriented analysis to pick what are the right experiences that we bring in. So there's a lot more opportunity ahead for them, which there's a great opportunity ahead for us.
Paul Silverstein: Okay. But I think Carl, notwithstanding [indiscernible] for saying congratulations on conference calls. I will break my goal in echo Christian sentiment. It's watching me all having gone from the walking dead not so long ago to where you are today. It's been fun to watch.
Carl Russo: Well, we appreciate you for being a part also. Thank you.
Michael Weening: Thank you very much.
Operator: Thank you. Our next question comes from the line of Fahad Najam with Loop Capital. Please proceed with your question.
Fahad Najam: Thank you. I actually wanted to follow-up on Paul's question as he reframed it on the risks. Let me ask you, what is the biggest opportunity ahead of Calix call? It seems like you're going to be focused on partners and ecosystem, do I get a sense that this marketplace opportunity? Are you trying to become the Amazon, the Telco version or Telecom version of an Amazon marketplace? And how big do you think this can be?
Carl Russo: So given your question and where we're going to close the call with this question is on our future and our evolution. So here's Michael.
Michael Weening: So the opportunity, I would actually see the marketplace model is a wrong analogy. We thought a lot about this. Actually, what we do is we take services that are over the top of UII and convert them into carrier hardened solutions that become managed where the service provider adds value. This is a very, very, very important distinction. You can't just throw a bunch of things up and hope they work. You have to make them right for the service provider. And with the best example, I can give is how do you handle security and privacy. We literally take these partners and educate them on how a service provider thinks about their subscriber, the security, the workflow to support all of the different elements and convert their product into a managed service. So it's a significant differentiation, which means that we are a very active participant in it versus just throw it up and hope something works. And so is there a huge opportunity ahead? That is the opportunity ahead, because we've also heard all these conversations about the infrastructure investments that are coming. What's the great thing about what we're doing with regards to the revenue edge, it works on any infrastructure. So it doesn't matter what network it is. It doesn't matter what type of network it is. The revenue edge will work with everybody. So we intend on monetizing the entire market.
Fahad Najam: Thanks a lot.
Operator: Thank you. Ladies and gentlemen, we've come to the end of our time for questions. I'll turn the floor back Mr. Fanucchi any final comments.
Jim Fanucchi: Thank you, Melissa. Calix leadership all participated in a number of investor events and meetings during the fourth quarter. Information about these events, including dates and time from public webcast and management presentations, will be posted to the Events and Presentations page of the Investor Relations section of calix.com. Once again, thank you to everyone on this call and on the webcast for your interest in Calix and for joining us today. This concludes our conference call. Have a good day, everyone.
Operator: Goodbye. This concludes today's conference call. You may now disconnect your lines.